Operator: Good morning and thank you for joining us. By now you should have received a copy of the press release. If you have not, please contact the corporate offices at 626-351-4664, and we will get one to you right away. With us today from management are Dan Batrack, Chairman and Chief Executive Officer; Sam Box, President, and David King, Chief Financial Officer. They will provide a brief overview of the results, and then we'll open up the call for questions. During the course of this conference call, Tetra Tech management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include statements concerning future events and Tetra Tech's future financial performance. The statements are only predictions and may differ materially from actual future events or results. Tetra Tech's Form 10-K and 10-Q reports to the Securities and Exchange Commission identify certain risk factors that could cause actual results to differ materially from forward-looking statements. Tetra Tech undertakes no duty to update forward-looking statements. At this time, I would like to inform you that all participants are in a listen-only mode. At the request of the company, we will open up the conference for a question and answer period after the presentation. With that, I would now like to turn the call over to Dan Batrack. Please go ahead, Mr. Batrack.
Dan Batrack: Great. Thank you very much, and good morning, and welcome to our third quarter fiscal year 2008 earnings and release conference call. I am just very pleased to present that what was a very good quarter for Tetra Tech this year. In fact, this was the quarter of our greatest revenue in our history, gross revenue, the highest net revenue that we’ve ever had, highest profit and the greatest backlog that have even been recognized here at Tetra Tech. In some respects, these results were better than even we, the management team, had anticipated and I’d actually like to discuss what drove some of this additional revenue and income from the quarter that were substantially above even our own guidance going into the quarter. This additional revenue and income were really driven by three primary areas. The first and it was the most significant factor was acceleration of wind projects that we had won in these previous quarters. It was the largest additional contributor to revenue and income and it was really driven acceleration request by our clients, quick turnaround on permits and being able to meet the requests of our clients and some of the project needs, and so that was the single biggest driver. But there were other two others that were also material contributors that drove both income and revenue for the quarter. The second was USAID – United States Agency for International Development. We had won a number of projects specifically in Afghanistan and we had gone from what was essentially no staffing country for USAID at the beginning of the quarter to well over a 100, in fact approaching 200 staff, half of which were US and other half were in country staff. This was in response to a request to accelerate the presence and execution of the work and we went from zero to a startup and full operation very quickly through this quarter and we just hadn’t anticipated how quickly we were going to move on the project at the client’s request. And the third and it is one that we’ve been watching for a number of quarter and in fact well over a year, is that the base realignment and closure work, barrack work in this latest round, we finally saw pick up on some of our infrastructure project. So, for the US Army we had a number of infrastructure barrack projects that were awarded and that we went from award to initiation starting during the quarter. The combination of these three, wind, USAID, overseas and most notably in Afghanistan the third barrack work contributed just over $30 million of additional net revenue that we had not even forecasted going into the quarter. We feel very good that we were able to respond, to meet the requirements of the clients and in fact this is an acceleration of revenue from future quarters into this quarter because as I will speak to in a few moments we replaced all of that work with even new orders that continue to grow our backlog. In our current portfolio, all three of our reporting segments grew. Our resource management, infrastructure and communication which are our financial reporting segments all grew, but most dramatic growth was recognized in our resource management group, which grew over 45% year-on-year. It now represents 70%, come back a little bit, it’s approaching an all time high, so 70% of our revenue is now in our resource management group, but it’s the reporting segment that houses our energy practice, which includes the wind projects which is the fastest growing component of the company. That’s what is driving this component, the revenue partition, the largest portion in resource management. Generally, our clients and our customers are generally similar with respect to the percentages as in previous quarters and is consistent with our plan. I’ve talked about this on previous calls and quarters and this combination and these percentages are what we planned and we really like it. We like the stability of the federal government. It’s exceptional, we like the higher profits of the commercial clients and the long term projects of the state and local really give us the right combination and the right balance for stability and I think these results these past several quarters including this one show that it’s pretty favorable in all sorts of different economic times. I’d like to speak just for a moment about performance by market. First, federal growth, the federal market for us. It was the area of the company that was up the greatest in gross revenue and net revenue was up essentially in the mid 30s, 34%, and it was led by, as I spoke just a moment ago, the large growth in USAID projects that we had specifically in Afghanistan and the base realignment enclosure work that we are doing at a number of military installation projects. These two clients, USAID and the Corp of Engineers, are top two clients, and so it’s – we feel very good about our top clients actually continuing to grow and drive both gross revenue and net revenue at such a great pace. The area that’s growing the fastest net revenue is our commercial sector and is being driven by wind energy projects and I’d like to spend just a moment talking about what type of projects these are and who we are working for. Primarily, we are working for utilities and commercial developers and the wind market has just been exceptional for us. In 2007, we did approximately $50 million in revenue. We originally expected $100 million in 2008, fiscal year 2008, or a 100% increase. Based on this acceleration and new awards, we actually 2008 to be closer to 150 million or a three times or three-fold increase from what we had the previous year. And an initial look and we will talk about this more as we enter into 2009, we expect probably in excess of $200 million in this type of work for 2009. Now, these revenues are being driven from specific projects obviously and these are project like work we are doing from T. Boone Pickens large wind development projects that we are supporting right at this time on some of the upfront studies work. The turnkey development of wind farms that we are doing and we’ve provided press releases for specific quarter up in Wyoming. The work we are doing on the East Coast, New York and other areas in the eastern portion of the US for Nobel – Noble Wind programs, and finally a different aspect of our alternative energy is work we are doing supporting transmission lines. One component, while we talk about wind a lot, our alternative energy practice is not just wind. Wind is the largest component by far, but it is supporting aspects of solar, geothermal, bioconversion plants, and a big component that is common to all of these is how do you get it from the generation to the grid and that’s transmission line programs. And those are programs such as the Energy Gateway West Transmission Project that we are supporting and other large programs. So, those are the items that are primarily driving the large growth, in fact the largest growth in our net revenue year-over-year that we’ve had in any of our customer segments. The last area that we – I’ve spent a fair amount of time talking in the previous calls is state and local, and really our results at the state and local market have been mixed. On the net revenue, we are still seeing strong growth, in fact 13% growth in net revenue year-over-year, but a little bit of softening in our gross revenue. And let me just say a word about what’s driving the mixed performance. Our water projects which are predominantly the work that we are doing for the states, which is regulatory enforcement programs, combined sewer overflows in fact were the major contributor to the growth in net revenue this past quarter. They are strong. Water at the tap are strong and watershed management and water quality are all very strong and continue to be one of our best performers. Areas at schools and let me describe what that is, that is our K though 12 or kindergarten through 12 which are driven by bonds and levies for school construction have been weak. They are driven by housing tax receipts, levies, other fees at the local level, they have been weak. So, we’ve seen a bit of reduction there. And municipal communication programs which are also driven by tax receipts and other types of local funding have also been weak. So, fortunately, those are very, very small aspects of our state and local exposure and the areas that we are predominantly focused on continue to be very strong. Aggregating all three of those, the growth in federal, commercial and state and local, that’s what yielded a 40% increase in our gross revenue and approximately 30% growth in our net revenue. That increase in net revenue also was accompanied by Tetra Tech having added approximately 400 additional staff during the quarter sequentially from the previous quarter. One of our strongest areas of performance in the quarter was our new orders, and in fact this third quarter represented the second highest book of new orders that we’ve ever had in a quarter. It was only surpassed by the previous quarter where we had these more than $150 million of initiation of wind projects. The exception of that, this is the highest book of orders that we’ve had and is much more diverse than we’ve had in the past. We more than replaced the record revenue that we expended during the quarter which was 564 million. We covered all of that and continue to grow our backlog this quarter. If you are following along on the slide presentation, you will notice that many of our largest contract wins have it even better represented in backlog yet. In fact they’ve only begun to contribute to our backlog. In fact if you add this up and some of the others that comprise the new contract capacity, we’ve added over a billion dollars of additional contract capacity during the third quarter that we didn’t have before. Our backlog, I’d like to say just a word or two and put some context around not only the quarter’s growth in backlog but really the progress we’ve made over the past several years. We had almost a 30% growth in our backlog year-over-year and while this backlog is made up of lots of individual great projects, if you look at it in aggregate over the past several quarters, what you’ll see is that the integration of our acquisitions directly contributed to our ability to win larger, more complex projects all around the world. That’s really what’s underlying the successes that we’ve had and that’s what’s driving our backlog. And so really the – all of these acquisitions have come have really added a different level of synergy to the operations that we’ve had and made a big difference and made Tetra Tech even more competitive than we’ve ever been previously. And with that for the details on the financials, I’d like to turn it over to David King.
David King: Thank you, Dan. Again, this is a great quarter. Our second quarter was a strong quarter; this third quarter was even stronger. Revenue was 564 million, a 40% increase. Net revenue was 32 – 332 million, a 30% increase as a result of strength and high demand that Dan mentioned earlier in our wind and barrack activities and work in Afghanistan for USAID. More importantly, we registered a 18% organic growth in the quarter and it’s a tremendous number for us for the quarter. Income form operations was 28.1 million, a 27% increase. On the margin basis, it’s 8.4%. Excluding intangible charges it was 8.9%. I want to make note here on the 28.1 million operating income, about $2 million of it had to do with a project settlement which will now repeat, and we have factored that in our Q4 guidance in terms of comparison. EBITDA was 33.1 million, a 29% increase. We are paying a little bit higher tax as we expand. Again, these are – the charges will only occur in the first three or four years in terms of intangibles. SG&A cost was 37.8 million, an 18.5% increase. On the net revenue basis it was about 11.4%. This increase was a result of increased proposal pursuits. As I mentioned in the prior quarters, we continued to invest heavily in our bid and proposal efforts as demonstrated by our quarter after quarter strength in new orders. Part of the increase had to do with higher depreciation and amortization. Excluding only the incremental amortization, our G&S structure, that is G&A only, increased at only 12%. And keep in mind, this is to support the 40% bigger company today. Clearly we are seeing some efficiency, incremental efficiency and synergy as we break into a $2 billion company. Tax was 11.4 million, a 26% change from prior years as a result of 30% higher earnings. The effective tax rate will be – was 41.5%. EPS was increase of 29% at $0.27. Our guidance was 0.22 to $0.24 cents. As I mentioned earlier, about $0.02 here was a result of a large project settlement which will now repeat. Balance sheet, I mentioned in the last two quarters, we had – we classified some tax accounts as a result of adopting FIN48. There was no P&L impact nor equity adjustments. Accounts payable and accounts receivable were at 537 million and 177 million respectively, a increase of about 28% for both versus revenue growth of 40%. Not only did we have strong collection but also smarter contract terms versus vendor management. Net debt was about 18 million, a 54% reduction as a result of strong cash collection and minimal ROIs. Our debt equity ratio was about 14% at the end of the quarter. Debt to total capital ratio was about 12% for the same time period. Cash flow has also been strong this quarter and year to date. We registered 16.8 million for the quarter, more than double from a year ago. Again, I attribute that to strong cash collection and improved contract terms. Fourth quarter, I expect to do about 15 to 20 million, and we maintain FY08 target to be 55 to 65 million which we raised last quarter. Capital expenditure was 3.6 million. At the whole year we expect to be 20 million. DSO was 72 days. This is again a very, very strong performance with a strong cash collection and smarter contract term with respect to advance payments. However, I do expect Q4 to be in the mid 70s and mid to high 70s and longer term to be in mid 70s. Net debt charge, we take this chart to heart, and keep a very close eye at our cash flow and debt levels. I expect net debt to be around 15 million give or take 5 at year end as we close some acquisitions at the beginning of fourth quarter with the capability of generating close of 50 million of free cash flow a year. We will continue to fund or if not self fund our organic growth and to some extent acquisitions. To close my remarks, this is indeed an outstanding quarter in terms of all operating metrics and financial metrics, revenues, backlog, operating income, margins and EPS. Again, I attribute this success to our focus on water, environment and alternative energy. The strategy we’ve chosen 18 paying off. Back to you, Dan.
Dan Batrack: Thank you very much, David. The success we’ve had in these markets and with our clients directly drive our guidance. And at this point I’d like to provide guidance both for the fourth quarter and for the aggregate of fiscal year 2008. Our net revenue guidance for the fourth quarter is 325 million to 345 million with an associated diluted earnings per share of $0.27 to $0.29. Now with three quarters behind us and in fact the first month of the fourth quarter behind us, the range for the year, guidance for the entire year of net revenue is relatively narrow at 1.22 billion to 1.24 billion or about a $20 million range. With diluted earnings for the entire year, you simply take our fourth quarter guidance on top of the first three quarter actuals, it’ll yield a $0.99 to $1.01. A couple of notes here that at this $0.99 to $1.01 range for the year, that includes $0.06 of intangible amortization expenses which has been incorporated into this. It includes no contribution form future acquisitions either for the fourth quarter or for the year. Again I will note that we are only approximately 60 days away from the end of the fiscal year. And as David King had indicated a moment ago, assumes a tax rate of approximately 41.5%. In summary, our management delivered outstanding results for the third quarter and while we have excellent clients and prospects with excellent execution by the management team here and I’d like to thank all of them for just a great continued performance and a great quarter. We’ve seen continued growth in our long term water and environment businesses which have been our strategic focus for essentially for ever. That is the core of Tetra Tech, the water and environmental programs. But the third area of focus, energy, is seeing accelerating growth, particularly driven by this wind energy projects that I talked about a moment ago. A record backlog which we’ve not only seen for one quarter but on the earlier slide where you see a trend has been driven on a consistently upward basis is providing us excellent visibility and with the continued book-to-bill of greater than 1, it continues to provide us this great insight into future projects and prospects. Now with the success in all these areas, we’ve raised our guidance for fiscal year ’08, and the mid point of the upgrade that we’ve just provided for earnings per share reflects a 25% growth over our 2007 numbers and performance on earnings and the mid point of our updated guidance for revenue reflects more than a 20% increase. And I think this is reflective of the excellent performance through this point of the year our confidence going into the remainder of this fourth quarter and really as we go into fiscal year 2009, and we see all three of our key markets, water, environment and alternative energy as being very strong and having excellent long term prospects. And with that, I would like to conclude our presentation and I look forward to answering your questions. At this point, Tina, if you can open it up to questions, we will transition to this portion of the conference call.
Operator: Thank you. (Operator instructions) Our first question will come from the line of Alan Robinson with RBC.
Alan Robinson – RBC Dain Rauscher: Good morning and congratulations.
Dan Batrack: Okay, thank you.
Alan Robinson – RBC Dain Rauscher: You talked in the prepared comments about alternative energy. We know all about wind. Can you talk a little bit in more detail about some of the opportunities you see in terms of solar, geothermal and the transmission line business that you were talking about, and perhaps an idea about the kind of revenue run rate that you can expect over the next couple of years from these businesses?
Dan Batrack: Well, the work that Tetra Tech is providing in solar, geothermal and transmission are all very similar, they are sighting. The work we are doing are upfront sighting, that would be for in the case of solar, sighting the locations with respect to permitting, environmental impact reports, endangered species, geotechnical work with respect to investigations for soil stability and in fact you can imagine for all of these it’s a similar requirement. We are not in hardware, and in the wind work, I commented before, and I’ll use it as a – to draw a parallel. The work we are doing for wind is everything other than the turbines and the towers, they are being acquired by the owners of the developers. In the case of the solar, it’s the panels and the generation hardware are also being acquired by the owners or developers and what we would is the sighting of where it locates and the engineering work, the consulting, the permitting, the oversight and so that’s what we would do. For our solar geothermal, it’s the same. And really the most exciting and perhaps the largest portion for us is the transmission. The one item that is common to all of these, power generation alternatives and then quickly moving from alternatives to mainstays, but these different sources of energy generation or how do you get into the grid. A big aspect of what we are doing with respect to even the early portions of each of these energy production alternatives are how do you situate it so that you minimize the transmission into the grid, and once that has been selected, how do you then identify the rooting, the clearance, the right of ways, the investigations, environmentally, geotechnically from an engineering aspect, and those are all of the types of projects and services that we are providing. The size of these markets, there is great wide ranges of the size of them, but it’s really a multi billion dollar opportunity in transmission. In wind, we see currently the Wind Energy Association is estimating approximately $9 billion a year expenditure. About half of that is in the turbines and towers, so they are part of the market that we would address there would be approximately $4 billion. So, as you can see, we are still a small player and we have great headroom to grow. And I’ve seen some very wide ranges on transmission but those appear to be larger than even the wind numbers, substantially larger, and we are at just the very front end of them.
Alan Robinson – RBC Dain Rauscher: All right. Interesting, interesting. And then just finally can you give us an idea – let’s see here, what proportion of your states and local business is non-water, and what kind of revenue visibility do you have with the water side of your state and local business?
Dan Batrack: The percentage is not water, it is probably about 20%. About 80% is water or water related. And – I am sorry, the second portion of the question?
Alan Robinson – RBC Dain Rauscher: The second portion, in terms of your sort of visibility regarding the water portion of your state and local business, I know typically these are long term contracts. What kind of visibility do you have now in terms of your horizon for states and local business? I am kind of interested to see if you see a sort of drop off a couple of years down the line or if it is sort of steady type of revenue stream that you have from that line of business?
Dan Batrack: Well, what’s interesting is the state and local work, states typically fund our projects one year, and we are not seeing any change. We’ve not seen any of our work moves to a shorter timeframe. Typically we can get a two or three year contract period with the states. The longest periods are with the federal government. We have contract that go out ten years as a contract capacity vehicle, but they are typically funded on an annual basis. We have very, very little of our backlog that extends beyond 18 months and in fact 75%, third quarters of it or more would all be expended in a one year period. At the state, because of requirements that most states are annual budget authorizations and not encumber future year's tax receipts and other items, our programs are funded typically for one year. We may have contracts that go multi year but in our backlog for the most past it’s all within 12 months.
Alan Robinson – RBC Dain Rauscher: Okay, thank you.
Operator: Our next question will come from the line of Corey Greendale with First Analysis.
Corey Greendale – First Analysis Corporation:
.:
Dan Batrack: Good morning, Corey.
Corey Greendale – First Analysis Corporation: Nice job on the quarter. I had a couple of questions. First of all, with barrack ramping up, returning to the way you had described it, probably a couple of years ago now, but that’s going to be bell curve in the activity, where in the bell curve would you say we are with that ramping up.
Dan Batrack: I think we are still at the very front end, we are at the very front end. The work we are seeing is not associated with the base closures and environmental cleanups but with the early construction of military friendly housing and some of the infrastructure at these new consolidated bases. On the bell curve, we’d be still at the very beginning of the first ramp up period. We want to turn it into the baseball metaphor we’d probably be in the second innings, maybe. So, we are still very early in the first – well within the first third, and so the largest portion of the revenue we still expect that to be well off in front of us. I believe that in 09 will see some ramp up but I think I’ve indicated in the past our belief and our view of the barrack is that it will be partially associated with what happens in expenditures overseas, specifically Iraq. So, as Iraq downsizes, the troops repatriate, we expect those funds then to be reallocated to Iraq and the work to pick up materially and that’s where you are going to see the biggest revenue expenditure in the big area under that bell curve.
Corey Greendale – First Analysis Corporati0on: Okay. And then turning to the wind project what’s your capacity utilization there? How much market do you grow that given the headcount that you have?
Dan Batrack: While I’d love to be able to capture all 4 billion of that a year, that’s our goal. We do have people highly utilized, we do have additional capacity. The reason we are doing some work on the T. Boone Pickens is he is looking for companies that have the capacity and the proven track record to actually beat his time schedules that’s why we are working for him. Some of these large transmission projects that I’ve talked about the same item they are looking for in large companies that have capacity. I will tell you the differentiation of Tetra Tech that we bring to the market is full services. There is lots of folks are constructors, there are some that are from permitters only, but one of the primary differentiators for Tetra Tech is our full service capability. We have started an internal training programs because the engineering skills required for the civil engineering, electrical, other support, permitting, environmental impact statements, engineering plans drawings, construction oversight, all are transferable skills from the several thousand of engineers we have in our infrastructure and our other units that we have here. So, we have started a training programs internally, a wind training program. We’ll rolling our own staff through so it is not a function or whether or not we can go into the market and bring those folks on which we are doing, but we also have internal capacity within our almost 9,000 staff now internally. So, we are feeling pretty good about our capacity to execute what we have and to take on more.
Corey Greendale – First Analysis Corporation: And the latter I am going outside, internal is… are you seeing anything in terms of weakness in labor markets generally helping you, is it still pretty tight to find good engineers?
Dan Batrack: No, it’s actually gotten better. It’s gotten better. I think four quarters ago a little bit more hesitant on this and saying that there is a little bit of pressure, but the softness in some of these, what I’d call, adjacent markets. With housing down and some of these housing framers, wood framers are transferable to large crane lifts, that’s not the case, but a lot of the softening in some of the adjacent market in construction and in engineering have made more staff available.
Corey Greendale – First Analysis Corporation: And last one for you is, on the commercial segment, outside wind energy, are you seeing any indications of softness in front (inaudible) because of the economy?
Dan Batrack: Water is good, we actually see water and environmental programs are good. We’ve smaller programs for environmental projects, for investigation assessment. Governance is a big issue, have actually strength in pursuits [ph]. In the small project, for those that were marginal kind of taper off, but we’ve been successful with more large programs. And some of the areas that are just beginning to emerge are we talk a lot about base realignment closure for the military but the automobile industry is going through a great consolidation and closing of old smokestack industries. And as part of that closure, there’s all sorts of investigation assessment and cleanup work and so that’s very strong, and so now we are seeing great strength. The other areas that we have a great focus on in at least right to our heritage of coastal engineering is there is a lot of sediment remediation programs that requires a great differentiator from some traditional low tech investigating assessment techniques and really lead to the leading science and technology and evaluation differentiator that is Tetra Tech. And so sediment work with rivers, ports, harbors is really we are seeing pick up materially. Other larger projects, more complicated, more expensive and less competition and better margins. So, our traditional water environmental work is very strong.
Corey Greendale – First Analysis Corporation: Thank you.
Operator: Our next question will come from the line of Debra Coy with Janney.
Debra Coy – Janney Montgomery Scott: Yes, thanks. Good morning, guys.
Dan Batrack: Hi, Debra.
Debra Coy – Janney Montgomery Scott: Dan, you have posted another great quarter of backlog. If we take the 1.7 billion or the 1.6 billion and look at a 40% subcontractor level we’ve already got north of $600 million in revenue, net revenue, coming in for next year, how should we think about organic net revenue growth. The 18% number this quarter was pretty astonishing, certainly estimates for next year I think have been probably in – on the organic level certainly substantially lower than that? How should we think about how this backlog is going to flow through and what else continues to be in pipeline for next year leaving aside acquisitions?
Debra Coy – Janney Montgomery Scott: Well, our organic growth, you are right, was exceptional. We’ve talked and we’re focused on achieving and then beating 15% top and bottom line which we said half of that would be organic. So, we are looking at 7 or 8 and we just did 18, no doubt that is a strong performance. But let me make one note on that 18%, we did acquire a year ago, it was just a year and a quarter ago for the most part, Delaney, which has certainly made a material contribution and has been just very valuable and being instrumental in helping us moving into this wind market and alternative energy. But our practice is just closed, it’s after a firm has been with us over a year, or more than 12 months, we account for the revenue in that’s organic. So, of the 18%, about 8% was Delaney, and so it was part of the reclassification. The other roughly 10% was organic from what I’d refer to as the old Tetra Tech the underlying business and so by any of these measures it was very strong. I would see that we would up or single digits, 8, 9, even 10% in the fourth quarter, you’d see us 10% or perhaps better for organic growth but I am cautious and not providing guidance of just organic growth at 18 to 20%. So, I would say upper single digits to even touching 10%.
Debra Coy – Janney Montgomery Scott: Okay. And that would be as we look ahead in terms of your visibility going into next year, that continues from fourth quarter as far as you can see right now?
Dan Batrack: Yes, that’s right.
Debra Coy – Janney Montgomery Scott: And it looks like the mix of subcontracting work as you’ve moved to the larger projects is settling in around 40-ish. Should we expect that that will continue as well, and so the –
Dan Batrack: I think so.
Debra Coy – Janney Montgomery Scott: – if that stays stable what we are getting on the gross revenue line should be more equivalent to what we are going to get on the net revenue line going forward?
Dan Batrack: Yes, that’s right, and I would say upper 30s to 40, that’s correct.
Dan Batrack: Okay. And I think I ask this question every quarter, but margins I know there was a special item this quarter that benefited margins. But generally speaking, as you shifted into the resource segments, EBITDA and EBIT margins contribution is going to be ahead of I think general expectations. Are we kind of maximized there, is there still room for improvement, how are you thinking about margins as we wrap up this year and move into next?
Dan Batrack: I think we still have room for improvement. In fact everyone here at Tetra Tech knows no matter what number they give, we have room for improvement. But if you take a look at the resource management, we talked historically about 9 to 10% and if you take ARPU [ph] we were 9.9 this third quarter, if I take out, back out this 2 – probably $2 million of project settlement, we are more like 9.1. So, my vision is that on that 9 to 10%, we are at the lower end of where I have an expectation. So, I think we do have expansion there. Infrastructure has been somewhat impacted by the state local work and the schools. We have really a de minimis amount of transportation work, but that is also particularly soft. And so we’ve have said in the past infrastructure at 8 to 9% and we are sitting at 8.2, so I believe we have pretty material increase available there. And our communications, we’ve said 7 to 8, I know that we were well over 10% this quarter but I’ve talked in the past about the seasonality. The communication work has such a large field component, is very lumpy with respect to low margins early in the year, higher margins late, but they are coming in right as we expect. So, I would say communications is close to optimal but it is such a small part of our business I think we have a fair amount of upside. And someone asked me prior to this call here, wow, we’re hitting on all cylinders. I believe we are hitting on all cylinders. Absolutely not, there’s additional strength that we could have at the state and local market, that we could have us doing better, and the additional work that we see coming with USAID overseas, the barrack work, and even this alternative energy work we’re just starting in transmission, all offer upside on both revenues but also margins.
Debra Coy – Janney Montgomery Scott: Helpful, Dan. And just a final clarification because there is so much attention paid to this wind business, what percentage of your current 1.5 that’s in backlog is attributable to wind, and I know you just announced another 38 – another 38 million yesterday as well, but where – what is the total wind backlog currently?
Dan Batrack: About 10 to 12%. So, it’s still a pretty small number and in fact it is not that far off of the revenue contribution which is close to that number, so about 10 to 12%.
Debra Coy – Janney Montgomery Scott: About 10 to 12% at the gross revenue line and more like 5% at the net revenue line.
Dan Batrack: That’s correct. The wind work tends to be about 50% and I will – I think you bring up a good point here that I’d like to make particular note an highlight that the wind work is about 50% of that is in subcontractor, 50% is self performance, which’s very valuable for us because there is materials, earthwork and other items that we subcontract out, or we’d made a decision. We have the capability implementing all of it, so we are certainly not beholding to any particular subcontractor but we do make a make buy, do we do it internally or do we have it subcontracted out. You know, that’s for our clients. We want to make sure the clients know that they are getting absolutely the best value. If the subcontractors, because of a tight labor market or tight cranes, we’ll self perform, we have our own cranes, we can execute it, so we will not be held hostage either for schedule or for pricing from any subcontractor, we can self perform it. However, to meet these accelerated scheduled we have a great group of contractors that are teeming partners that we use, and are very financially competitive.
Debra Coy – Janney Montgomery Scott: And that business again just to understand how it flows through, it seems like that business is pretty quick turnaround versus some of the other stuff in backlog that is going to be more 12 months or so that it sounds like the wind projects are coming in, you are turning them back around pretty quick.
Dan Batrack: That’s right, that’s correct.
Debra Coy – Janney Montgomery Scott: Okay. All right, thanks.
Dan Batrack: Thank you, Debra.
Operator: Our next question will come from the line of John Quealy with Canaccord Adams.
Chip Moore – Canaccord Adams: Hi, good morning. This is Chip Moore for john, congratulations on the nice results.
Dan Batrack: Thank you.
Chip Moore – Canaccord Adams: Yeah, I was wondering if I could get your thoughts on the senate willing to expand the renewable tax credits, specifically is this a case where you could see some potential acceleration in the near terms just given the uncertainty.
Dan Batrack: We think so. We think that’s a contributing factor that let’s go fast, let’s get it, let’s complete it before the end of the calendar year. We think that’s a contributing factor. We’ve looked very, very close at the tax credit issue historically, and I’ve certainly seen in the past an impact to the bill or the investments on the wind side based on the periods where these tax credits have not been in play. However we do think that there is a sea state change here that number one, with the increased price of oil, and the increased price of energy, wind is much more competitive. The difference between wind energy production and conventional fuels has narrowed substantially. And number two, most of the states, most of the states throughout the US have passed required alternative energy mandates that typically range from 15 to as high as I believe 30%, sounds like a lot of them around 20%. But in order to meet this renewable energy requirements consumptions for the states, right now wind is one of the primary drivers for this. And some states have these deadlines coming up as quick as a year or two, and so a combination of these political mandates or requirements that are being put across the country plus the narrowing of the economic difference in production think makes the tax incentives less critical than they’ve been before.
Chip Moore – Canaccord Adams: All right. Thank you.
Operator: Our next question will come from the line of Jeff Beach with Stifel, Nicolaus.
Jeffrey Beach – Stifel, Nicolaus & Co.: Yes, good morning and congratulations on a great quarter.
Dan Batrack: Great, thank you.
Jeffrey Beach – Stifel, Nicolaus & Co.: You touched somewhat on one of my question which was the skill in this – particularly in the wind power, the wind projects you are winning. Can you go into that a little bit more? It sounds like what you are doing, the environmental work, sighting, permitting, is transferable to a large amount of the infrastructure work you do, but are there specialized skills that you have to look for out in the workforce, specifically for wind and other alternative energy?
Dan Batrack: Let me talk about wind and then I will go to the other alternative energy. You are right, we have a lot of our skill sets and employees, it is transferable. But there is a couple areas that are just not, and one would be electrical. You can imagine that there is a large requirement for electrical engineers, for individuals who are experienced with the transformers, with the transmission and all aspects of the electrical performance. So, that’s a big portion and we are not trying civil engineers or geotechncial engineers, since engineers is now tugging your toe string [ph]. The second is cranes. Cranes or heavy lifts or high lifts, heavy and high lifts is a very unique skill set and we have brought in large groups into the company. So, the one area that we’ve been very aggressive on and very successful is beginning both individuals and groups and even having subcontractors come join Tetra Tech. We’ve created a group – since electric is such a specialized expertise, we created a group within Tetra Tech, Tetra Tech Electric, and it’s focused on the high voltage aspect of transmission. And so it’s an area that not only was originally created here over the past year, we started this about a year ago, associated with the wind, because we have a local collection system from the wind turbines themselves, the transformers into the collection system then transmission. But quickly our clients and customers out in the marketplace have asked for that skill set then to be transferred over to the transmission of the high voltage into the interconnects to the grid. And so that’s why we are not building this hoping that transmission work will be there, so we built it for the work we have, to execute and then it’s being deployed into transmission. So, those are two areas that are unique and are not readily transferable, but that’s been a big focus over the past more than a year to build up.
Jeffrey Beach – Stifel, Nicolaus & Co.: All right. The second question and I referred – if you can help on this profit – operating profit margins on your net revenues within alternative energy, are they running below at or higher than Tetra Tech overall?
Dan Batrack: They are at or above. By their very nature, one other comment I will make is, by the very nature of much of this work is fixed price in nature. We are being conservative in our booking rates on these project as we are at the very front end of these projects and it’s excellent work, it’s fast turnaround work, it’s work that we are experts at in many aspects we are leaders in the country in certain aspects of it, but nevertheless large projects that are moving fast we like to be conservative on our booking rates. But we have these projects planned at or above our commercial range which is typically on a net revenue basis about 10%.
Jeffrey Beach – Stifel, Nicolaus & Co.: All right. And last, just within overall resource management, is there a portion of the work that you are doing that’s fixed price or is almost all of it cost plus?
Dan Batrack: We have a fixed price component of it but the majority of our cost plus work which is around 30% is in our resource management. So, you can do the weighted average factor and 30% of our total revenues are in our cost plus (inaudible) typically and that resides almost entirely, in fact actually I think entirely in our resource management group.
Jeffrey Beach – Stifel, Nicolaus & Co.: All right. Thank you.
Operator: Our next question will come from the line of Richard Eastman with Robert W. Baird.
Richard Eastman – Robert W. Baird & Co.: Yes, good morning. A couple of things, could you just walk me back through once the net – the positive variance in net revenue was maybe $30 million from kind of your mid point guidance. And I guess from the quick math it sounds like maybe the wind was $20 million of that. And the other – the other number you mentioned, the USAID business in Afghanistan, that would be part of your acquired growth yet, right at ARD?
Dan Batrack: Yes, that’s correct.
Richard Eastman – Robert W. Baird & Co.: Okay. So, and then barrack, would barrack be maybe the other 10 million of upside?
Dan Batrack: I would say between 5 and 10, yes.
Richard Eastman – Robert W. Baird & Co.: Okay. So barrack and wind were the majority of it. And then –
Dan Batrack: Let me just clarify one small point on USAID. It wasn’t entirely ARD which is the new acquisition which would be under our acquired revenue. They did and this is the elusive synergy that we all search for has actually really been well recognized with ARD. They’ve utilized – its one area that we’ve had a little bit of weakness in the state local is in some of our architects and design works. We’ve been able to mobilize them in country and so some of the revenues that ARD has brought are actually using Tetra Tech’s engineering staff and architecture staff in house and so we’ve been able to leverage our existing operations to help fill that. So, all that revenue in Afghanistan wasn’t just in ARD or the acquisition category.
Richard Eastman – Robert W. Baird & Co.: Okay. And then just a quick question on the UXO contract. I think we got funding on that sometime during the second quarter, was that – was the delta there year-over-year measurable as well?
Dan Batrack: No, it was flat, that was flat. Essentially little or no change from the previous period comparisons.
Richard Eastman – Robert W. Baird & Co.: Okay. And then just my last question is on the – on the margins side, if I look at your segment profit margins and keeping in mind that $30 million variance from guidance in net revenue, if I take your segment margins profit margin and I pull out the 2 million of settlement, the incremental margin on that, on that net revenue, that 30 million of net revenue is only like a million bucks, a little over million dollars?
Dan Batrack: Yeah, glad you mentioned that. As I refereed to that indirectly just a moment ago, that work, that $20 million represented the majority, certainly two-thirds of the incremental increase in the revenue. The net revenue that you just have referred to is what I was referring to as being conservative as a booking rate at the beginning of the project. And so we intentionally didn’t – say we intentionally didn’t hit that hard. We are at the beginning of the project, we are being conservative, and as that project continue and move through the different milestones, we’ll adjust our booking rates.
Richard Eastman – Robert W. Baird & Co.: So, if all goes well on those projects, again they are – the theory is on the commercial side, they are higher margins to begin with, that sells up for end of project of profit recovery I guess? Is that how that flows through?
Dan Batrack: That’s how we would expect it.
Richard Eastman – Robert W. Baird & Co.: And what’s your billing now is – I mean most of what you have in the backlog is to be performed by the end of the calendar ’08?
Dan Batrack: Most on the wind. On the wind portion, a good amount it is but some of the new work certainly extends into ’09. But I would say most of it is a quick expenditure through calendar year ’08, which gives us very high confidence in our guidance for Q4 and is reflected in our Q1.
Richard Eastman – Robert W. Baird & Co.: I see, okay. Very good, well, thank you.
Dan Batrack: Great. Thank you, Rich.
Operator: Our final question will come from the line of Min Cho with FBR.
Min Cho – FBR: Couple of question for you. So, it sounds like on the wind side that you are increasing – you are increasing your opportunity to do more construction related work on the transmission side going forward, is that the correct assumption?
Dan Batrack: No. Actually the work on the transmission, let me provide a few words of detail on this. Wind, which is the – we are doing on a turnkey basis which includes the construction. On the transmission we would do none of the construction and implementation. We would potentially do the oversight, but it is sighting, planning, technical, goetech evaluation, which is soils compaction, permitting, some aspects of the engineering, construction oversight and owner’s rep, but not of the hanging or bearing of the wire, so not of the construction component on transmission.
Min Cho – FBR: Okay. Now where do the cranes and the heavy lift come in play, is that not related to the transmission business?
Dan Batrack: Now, that’s lifting up the turbines and putting them on top of the towers.
Min Cho – FBR: Got you, so the turbine erection. Okay. Also is there – do you have any update on the release of projects associated with WRDA. Are you seeing any negative impact from the soft economy?
Dan Batrack: Well, we are not seeing any downturn in WRDA because nothing was coming through WRDA. We saw in the past – we were simply waiting for its appropriation. We had always and I know I had spoken to this one (inaudible) sometime ago, expected it to be late, and I though it would be September-ish if we saw any specific project funding. So, the end of fiscal year’08, now that’s really a fiscal year’09 opportunity. Now, one thing I will say about the federal government, I’ve had some queries on the election, on funding, on appropriations. We’ve been in continuing resolution process with the federal government now for we’re going a few years now, and so as far as plus ups, surpluses on individual bills, it just hasn’t happened yet. So, as these free up, we would expect that to represent additional opportunities. So, we haven’t seen barrack have any particular large plus ups or release of funding. If that happens, we’d expect it to have a beneficial contribution. And the same thing is true with the Water Resource Development Act, WRDA. So, we’ve not programmed revenue for that, we don’t expect to see it till ’09.
Min Cho – FBR: Okay. And my follow up question has to do with your communication business. I realize it’s a small portion, but was there any one time impact on your margins for the completion of Utopia?
Dan Batrack: No, just completed that phase and that aspect, so there was no pickup or actually recognition. It just moved to a natural closeout and so that did not contribute to greater than 10% margin. The greater than 10% margin was really driven by instead of seasonal execution, utilization, more work, leverage on its individual overhead. So, it’s sort of a seasonal aspect of (inaudible).
Min Cho – FBR: Okay, and most of that business now is tied to the fiber deployment from the various telco services providers?
Dan Batrack: That’s exactly right, that’s exactly what it is.
Min Cho – FBR: Okay. Great, thank you.
Dan Batrack: Thank you, Min.
Operator: This will conclude the Q&A session. I would now like to turn the conference back to Mr. Dan Batrack to conclude.
Dan Batrack: Great. Thank you very much. I appreciate your questions and comments and look forward to talking to you next quarter. And we are busy here, we’ll work very hard at having another very strong quarter. Thank you very much and talk to you next quarter. Bye.
Operator: Ladies and gentlemen, this concludes our conference call for today. Thank you all for participating and have a nice day. All parties may now disconnect.